Operator: Greetings and welcome to the Sun Hydraulics Corporation Third Quarter 2017 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Ms. Karen Howard, Investor Relations for Sun Hydraulics. Thank you, Ms. Howard. You may now begin.
Karen Howard: Thank you, Manny, and good morning everyone. We certainly appreciate your time today for our third quarter 2017 financial results conference call. On the line with me are Wolfgang Dangel, our President and Chief Executive Officer, and Tricia Fulton, our Chief Financial Officer. Wolfgang and Tricia will be reviewing the results that were published in the press release distributed after yesterday's market close. If you don't have that release, it is available on our website at www.sunhydralics.com. You'll also find slides there that will accompany our discussion today. If you look to the slide deck, on Slide 2 you'll find our Safe Harbor statement. As you may be aware, we will make some forward-looking statements during this presentation and also during the Q&A. These statements apply to future events that are subject to risks and uncertainties, as well as other factors that could cause actual results to differ materially from where we are today. These risks and uncertainties and other factors are provided in the earnings release, as well as other documents filed by the company with the Securities and Exchange Commission. These documents can be found at our website at www.sec.gov. I also want to point out that during today's call, we will discuss some non-GAAP financial measures which we believe are useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of comparable GAAP to non-GAAP measure in the tables that accompany today's earnings release, as well as in the slides. Wolfgang will get started with some highlights for the quarter, Tricia will go through the detail of the financial results, and then we'll turn it back to Wolfgang for his perspective on our outlook before we open up the line for questions and answers. So with that, it is now my pleasure to introduce Wolfgang.
Wolfgang Dangel: Thank you, Karen, and good morning everyone. Please turn to Slide 3. We continue to be very pleased with our team's performance as we are progressing through 2017. We’ve had a lot of exciting activities going on especially teams from our two business segments have been working closely together to execute our vision 2025. I’ll deploy into that in a moment. Let me start with highlighting the financial results for the quarter. Sales nearly doubled to $88 million compared with the $26 million in the third quarter. Enovation Controls contributed $30.8 million in the quarter, representing 34% growth over the 2016 third quarter on a pro forma basis. Consistent with the first half of the year, the significant Enovation Controls growth has driven by strong demand in the vehicle technology business, specifically recreational markets, as well as our power controls business benefiting from economic improvement and stable oil prices. The rest of our business also realized significant organic growth, up by 27% in the quarter over the prior year third quarter. Sales in all of our markets around the globe grew considerably as our many initiatives are taking hold, which I’ll talk about on my next slide. Our consolidated sales growth has been particularly strong in Asia, which increased 72% over the prior year third quarter. Included in debt, our organic business in Asia grew 55%. The growth trends we realized in both of our segments continued through October. Turning to the bottom line, earnings per share were $0.42 for the quarter or $0.43 on a non-GAAP basis, this is more than double the 2016 third quarter EPS of $0.19. The non-GAAP number is calculated in the table at the end of both the slide deck and release. It excludes a small change in fair value of contingent consideration relating to the Enovation Controls acquisition, which Tricia will discuss in more detail. Similarly, our adjusted EBITDA more than doubled to $22.5 million, representing almost 26% of sales for the quarter. This result is a testament to the many people within our global organization working hard every day to proactively service our customers and be as productive as possible. Finally, given our stronger than expected sales growth in both segments, we are once again increasing our revenue guidance for 2017. We now expect consolidated revenue in the $330 million to $340 million range that reflects an increase of about 3% on the top end of the range and 5% on the bottom end. You will notice that this infers that our fourth quarter could be our softest quarter of the year, which is impacted by normal seasonality within our electronic segment. This results from several of our OEMs having extended schedule shutdown around the December holiday season. Also worth nothing in a steady economic climate, our hydraulic segment frequently experience the seasonal fourth quarter softness due to buying patterns in the industry which referred. Please turn to Slide 4, and I will touch on some of the investments we have made in accordance with our vision 2025 strategic plan. As you may know historically our hydraulics segments did not have any application experts in the field and in the Americas, and only a limited number of application experts in other parts of the globe. In our strategic planning, we identified that we may have opportunity to drive sales growth by establishing direct relationship with OEMs and better covering the marketplace. Accordingly we have been adding sales application specialists in the field, we’re up to 8 in the Americas, where in the past we had none. Additionally we’re up to 23 in the rest of the world compared with 6 previously. I want to report to you that we have began seeing the benefits of these investments in our sales growth we’ve reported this quarter, and we anticipate that we will gain additional momentum as these engineers continue to get up to speed, and as we add more application specialists in select geographic market. Generally, it takes about three years to realize the expected return on our investments in such personal. Regarding our electronic segment, while we have seen this in the past two quarters, we are again pleased to see significant growth resulting in record sales in the third quarter. Since the acquisition closed last December, we’ve been executing the operational curve-out from the previously affiliated Enovation Controls businesses. As Tricia will note, we’ll just make some temporary investments in inventory during this quarter to ensure that the movement of production lines between facilities would be seamless to our customers. I’m pleased to report that the cost obvious about to be successfully completed. We recently launched two new products for our hydraulic segment as followed. The October 25 announcement of the availability of XMD electro-hydraulic valve driver was the result of the first chunk engineering development project between our electronics and hydraulic segments. Recall that part of our strategic rationale for the Enovation Controls acquisition was to quickly obtain significant engineering talent with electronics knowledge that could strength the relevant knowledge to our hydraulics engineering team. We are pleased with how quickly the team’s completed this project. These new products are Bluetooth configurable emphasizing our commitment to operator safety and drive a wide range of electrically operated hydraulic valve. Target markets include many industrial applications, as well as all high valve equipments used in the variety of industries, including agriculture, forestry, construction, marine, earth moving and material handling. Announced last week, our second new product launch introduced a new line of Sun FLeX electro-hydraulic cartridge valve product. This is the first of three spaces and we expect to finalize the other two in 2018. We’re especially excited about the [indiscernible] enhance our existing electro-hydraulic product and has been proven to outperform comparable valves in the marketplace. These products are ideally cubic for a wide variety of demanding application in a broader way of industry serving both the mobile and industrial hydraulics marketplace. Sun FLeX represents our largest new product launch in nearly a decade.. Our strategic goals for our hydraulic segments include the introduction of more smart components and intelligent control systems, a significant portion of our R&D spend on the development of such product consistent and we expect this to continue. Another strategic investment that we are making in valves of our organization in China, previously those - our hydraulics and our electronic segments had a first preference in the Shanghai - area, each of them in a small office. We have taken the step to combine them administratively, which create efficiency and move into a larger collocated facility, the new facility houses our sales and engineering functions and warehouses inventory allowing us to grow in service, the China region from within that region, which is one of our strategic goals for old geography. This will complement the expended production facility that we are building in South Korea, which we spoke about last quarter. We’ve made the initial payments for the land and project is progressing as planned. With that overview, I will now turn the call over to Tricia, to review the financial results for the quarter and year-to-date in a bit more detail.
Tricia Fulton: Thank you, Wolfgang and good morning everyone. I’m starting on Slide 6th with the review of our third quarter consolidated results. Third quarter sales were $88 million, up 95% compared to last year’s quarter. This includes $30.8 million for the Enovation Controls business indicating that the organic business grew 27%. Most of our products did not have any price increases in 2016 or 2017. The pricing had an immaterial impact on the comparability. Foreign currency translation had a favorable 200,000 impact for the quarter. I will now touch on sales by region, which are designated here in the sales bar chart. We inserted a chart in the back of the press release, as well as the supplemental slides summarizing this information. As we previously noted, we start experiencing progressive improvement in all of our geographic markets a little over year ago and that has continued to the present time. We realized year-over-year third quarter growth in each region. In the Americas sales more than doubled over the third quarter of 2016 to $52.1 million, driven by the Enovation Controls business, as well as organic growth. The Enovation Controls business is heavily weighted to the US, driving our sales to the Americas market up to 59% of the consolidated total. EMEA realized 36% growth to $19 million and the Asian Pacific region was up 72% to $16.9 million. Our organic business grew 21%, 15% and 55% in the Americas EMEA and APAC respectively. We have made investments in sales and marketing, including the addition of sales application specialists in the field, which we believe are generating sales to complement the market expansion. Regarding profitability, our consolidated adjusted EBITDA more than doubled to $22.5 million, representing 25.5% of sales in this year’s third quarter. That was up from 21.7% in last year’s third quarter. The improvement was driven by the increase in sales and the leverage realized on our fixed cost base in both cost of goods sold and SEA, those benefits were partially offset by higher cost associated with product development activities and efficiencies that resulted from the curve-out and public company audit and stock implementation expense. Turning to the bottom line, adjusted earnings per share were $0.43 more than double last year’s third quarter of $0.19. I want to mention a few items that impacted our consolidated results reported in our earnings release. First, our amortization expense, most of which resulted from Enovation Controls acquisition amounted to $2 million pretax in the third quarter, net of tax that amounts to $0.05 per share. I’d also want to point out that we realized $1.4 million of incremental net interest expense, primarily due to the cash and debt used for the acquisition, net of tax, this amount to approximately $0.04 per share. Finally, we reported an additional 700,000 pretax of contingent consideration, which net of tax amount to approximately $0.02 per share. We report this item as an adjustment to arrive at non-GAAP, net income, and EPS as shown in the reconciliation at the end of both the earnings release and the slide deck. Based on the accounting rules, this represents an adjustment to the additional purchase price for the Enovation Controls business in accordance with the earn-out in the purchase agreement. Please turn to Slide 7 for review of our hydraulics segment third quarter operating result. Sales grew 28% to $56.6 million with particular strength in the APAC and Americas region continuing the trend realized last quarter. We saw 55% year-over-year growth for the quarter in APAC region and 23% in the Americas region. Gross profit increased by 50% to $22.9 million on the higher sales driving gross margin up to 40.4%. This compares favorably to last year which realized 34.4% gross margin. The improvement resulted primarily from leverage on the higher sales volume, although there was a minor unfavorable impact in our Sarasota operations from Hurricane Irma. SEA expenses increased by $1.8 million to $9.3 million to support our growth initiatives, including the addition of new talent. Operating income increased 75% to $13.5 million or 23.8% operating margin, compared with 17.4% operating margin in last year’s third quarter. Similar to the improved gross margin on our higher sales volume, we realized further leverage on our SEA expenses. This drove the operating margin improvement. Please turn to Slide 8 for a review of our electronics segment third quarter operating results. As a reminder, the 2016 electronics segment numbers include only a very small HCT business, and the 2017 numbers include both our Enovation Controls business, as well as HCT. Enovation Controls contributed $30.8 million of the segment $31.4 million third quarter 2017 sales. On a pro forma basis, Enovation Controls realized 34% growth over the pre-acquisitions 2016 third quarter. Similar to the strong pro forma growth realized in the last quarter, we attribute this to our proactive sales initiatives, as well as new products and overall increasing market demand in the power controls and recreational vehicle end market. The segment generated 42.8% gross margin and 19% operating margin in the quarter, compared with trailing second quarter, this period was impacted by higher cost associated with product development activities and efficiencies that resulted from the curve-out and public company audits and stock implementation expenses. Please turn to Slide 9 for review of our year-to-date consolidated results. Sales of $258.7 million were up 76% over the same period of last year. This includes $85.2 million for the Enovation Controls business, indicating that the organic business grew approximately 18%. Foreign currency translation had an unfavorable $1.7 million impact year-to-date, compared with last year. Regarding profitability, our consolidated adjusted EBITDA nearly doubled to 59.9%, representing 27% of sales in the first three quarters of 2017 that was up from 25% last year. Turning to the bottom line, adjusted earnings per share were $1.33, up from $0.75 last year. As I noted for the quarter, I want to mention some items that impacted our consolidated year-to-date results reported in our earnings release. To begin with, in the first quarter of this year, we reported $1.8 million pretax for amortization of inventory step-up. It is included in the positive sales and net of tax amounts to $0.04 per share. This is reflected as an adjustment to arrive at non-GAAP, net income, and EPS, and showing reconciliation at the end of both our earnings release and slide deck. Next, our amortization expense amounted to $6.4 million, net of tax that amounts to $0.16 per share. Third, we realized $3.8 million of incremental net interest expense, net of tax, this amount to approximately $0.9 per share. Finally, we recorded $8.9 million pretax of contingent consideration was net of tax amounts to approximately $0.21 per share. This item is also reflected as an adjustment to arrive at non-GAAP, net income, and EPS. Please turn to Slide 10 for a year-to-date review of the hydraulic segment. Sales grew 19% to $171.6 million with particular strengthen in the APAC and Americas region, which grew 36% and 17% respectively. Gross profit increased by 33% to $70.5 million on the higher sales driving gross margin up to 41.1%, this compares favorably to last year which realized 36.8% gross margin. Operating income increased 44% to $43.6 million or 25.4% operating margin, compared to 21% operating margin for the first three quarters of 2016. Like the quarter, our improved profitability is benefiting from the leverage realized on our fixed cost with higher sales volume. Please turn to Slide 11 for year-to-date review of our electronic segment. Enovation Controls contributed $85.2 million of the segments $87.1 million of sales for the first three quarters of 2017. On a pro-forma basis, Enovation Controls realized 38% over the same period last year. The segment generated 44.7% gross margin and 21.4% operating margin in the first three quarters of 2017. As Wolfgang indicated, this sales growth and profitability is exceeding our initial expectations. We are very pleased with the team's attention and focus to attaining or exceeding their goals. Please turn to Slide 12 for a review of our cash flow and capital structure. During the first three quarters of 2017, we generated $38.4 million of cash from operating activities, compared with $31.3 million in the first three quarters of 2016. The increase is due to higher net income partially offset by an increase in working capital. We have - needed additional working capital going 2017, especially inventory to support the sales growth, as well as the Enovation Controls curve-out. To ensure that we didn’t interrupt our ability to meet customer demands, we carried extra inventory of production lines for being shutdown and then setup in the new location. Total debt was $116 million at September 30, 2017 down from a $124 million at July 1, 2017, and $140 million at April 1, 2017. We repaid an additional $8 million of debt during the third quarter of 2017 after having a repaid $16 million during the first quarter. We had a $184 million of available capacity and revolving credit facility at September 30, 2017. As we previously mentioned would occur in our fourth quarter, in October we paid $17 million to the former owners of Enovation Controls, as the first of prepayments earned as contingent consideration or earn-out. The next two payments are due in July 2018 and April 2019, other than that and our regular quarterly dividend, our primary use of cash, as the capital expenditures and acquisitions to support our vision 2025. We finished the quarter with $84.9 million of cash and short-term investments and $116 million of debt or $31.1 million of net debt. Our net debt to net capitalization was down to 10%. At the end of 2016, we had $81 million in cash and short-term investments and $140 million of debt or $59 million of net debt. That had our net debt to net capitalization at 20%. So, our strong cash flow profile has allowed us to make considerable improvement in that matrix during the year. Wolfgang, I’d like to turn it back to you for your perspective and outlook, before we open line for Q&A.
Wolfgang Dangel: Thanks, Tricia. Please turn to slide 14. The economies nearly all regions around the globe and nearly all centers are performing very well, and seemed to be growing at an accelerated rate. Leading indicators point to continued acceleration into early or mid 2018, and then slowing growth for the remainder of the year. The growth in U.S. industrial production is supported by strong consumer spending and increasing demand for industrial good. It appears that the U.S. total industry capacity utilization rate may have peaked in 2017 supporting a theory of flowing growth in 2018. As we look around the globe, industrial production is currently growing at an accelerated rate in Canada, Brazil, and Europe. However, India and China both reportedly experiencing flowing growth currently, looking towards next year, other than India which is expecting accelerating growth, slowing growth is expected in all other global region by the end of 2018. As our cartridge growths are important to the construction machinery sector, we look to the phases of the U.S. construction market. Currently sale-unit housing starts are accelerating, but multi-unit housing starts are in redemption retention. Those trends are expected to shift in 2018, but the overall construction industry is expected to expand which boards well for Sun. U.S. manufacturing production is growing at accelerated rate, despite some weakness in the order industry. This economic activity is benefiting us, given our current concentrations in material handling and general industrial applications. While production is expected to continue to grow in 2018, it’s expected to be at the slower rate. Indicators for the North American electronic sectors as published by the Institute of Printed Circuits Association also suggest growth, but with some anticipated volatility. So, in addition to gross resulting from the execution of our strategic initiative, Sun is enjoying the benefit of broad economic growth globally. Please turn to Slide 15 for additional thoughts regarding our outlook. We generally have visibility for about one quarter or so, accordingly given our recent trends and expectations for the remainder of the year, we have to raise our revenue guidance, which I will address on the next slide. Since this is our first year with Enovation Controls business and the establishment of our electronic segment, I want to make sure you understand the seasonality of that business, because typical for most of the OEMs that our vehicle technology business services to schedule extended shutdowns around the December holiday season. Accordingly that has a significant impact on our expected fourth quarter sales for the electronic segment. However, this is normal and we don’t have any reason to believe that gross will not bounce back in the first quarter of 2018, while recognizing that the significant growth rate experienced in 2017 are not expected to be sustained. For those of you who know our historical hydraulic business well, that in a stable economic environment, our fourth quarter maybe seasonally will be weaker given purchasing patterns in our industry. However, in 2017 given a strong economic growth realized, as well as the benefits from our strategic initiative we do not accept this to be the case. In September, we announced that we will combine the Enovation Controls and HCT businesses into our facility in Tulsa, which is our North American competency center for the electronic segment. HCTs operations in Nevada City, California will be closed at the end of 2017 that used to Tulsa. The cost associated with closing the location, including severance payments to employees and moving equipment and inventory is approximately $1.2 million, which will be spent as restructuring charges in Q4. We believe the combination of these two businesses will provide opportunity for integration of the HCT products into Enovation Controls system. Additionally, the establishment of new modernized production lines for the HCT product with growth efficiency in manufacturing processes and cost improvements. Finally, I want to comment on the devastating hurricanes that affected so many people and businesses during this past quarter. Regarding the impact on Sun and our employee specifically, we are relived that we regained power within a couple of days and proceeded to get our operations pick and running. All in all, I estimate that we lost about five production base in September, and working to make that up as we progress through the fourth quarter. From a demand standpoint, I’m pleased to report that the diversity in breadth of our customer based both from an industry sector and geographic perspective have resulted a minimal impact to Sun. On the other hand as the reconstruction and refurbishment continues in the hurricane affected regions, there may be incremental demand for some product in the mid-term through the next couple of quarters. Please proceed to Slide 16 where we summarized our guidance for 2017. As I mentioned earlier our trends thus far this year has led us to increase our revenue guidance modestly, which other than updating our depreciation guidance is the only category that changed from last quarter. You can see here that we increased our consolidated revenue guidance by $10 million at the top end of the range and $15 million at the bottom end. This represents about 3% to 5% increase over the guidance that we provided last quarter. Those of our business segments are driving this increase as you can see here. We did lower our depreciation guidance by about $1 million due to timing of the closing on the purchase of Tulsa buildings which will be later in the 2017 post quarter. So, with that, let’s open up the line for questions and answers.
Operator: [Operator Instructions] Our first question is from Mig Dobre of Robert W. Baird. Please go ahead.
Unidentified Analyst: Good morning everyone, it’s Joe Boyarsky [ph], I’m for Mig this morning.
Wolfgang Dangel: Good morning, Joe.
Unidentified Analyst: Good morning. So, starting off on hydraulics, the sales growth in Asia Pac has continued to accelerate. And I know you kind of touched upon on prepared remarks, but can you kind of update us on the Asia Pac initiatives within here and kind of in and those, and can sales growth continue to accelerate at these run rates?
Wolfgang Dangel: Yes Joe, just to give you an update on some of the major initiative, it’s pretty much in alignment with what I reported earlier on. So, we have been intensifying customer contacts and activities in the marketplace. We have been adding more with application engineering skill sets to the team. And, last but not least, I would also contribute some of this staggering growth we’ve seen on the hydraulic side obviously to rebounding of the construction machinery sector in China. But in a natural from an internal perspective, but it’s probably much more activity in the marketplace and adding additional strength to accretive capable existing team.
Unidentified Analyst: Got it, okay. Thanks for that color. And, then switching to the electronic segment, Q3 sales were about $3 million, $4.5 million, and the guidance in place Q4 sales of $18 million to $23 million. I know you talked about seasonality in Q4, but that’s more seasonality than I would have expected and anything else going on there or is that really the magnitude of the Q4 seasonality?
Wolfgang Dangel: That’s pretty much the only reason there. As we mentioned earlier on, so we expect shutdowns of some of the OEMs in December and that’s pretty much the OEMs that we are seeing.
Unidentified Analyst: Okay, got it. And, then a big part is the vision 2025 target is an incremental sales from M&A, and now they were about a year out from the announcement of the Enovation acquisition, just any color on how the M&A pipeline is looking?
Wolfgang Dangel: Yes. So, I mean, that has been ongoing activity as we reported during the earlier webcast. And, we are filling the pipeline with [Frost Bank], some of them obviously are at various stages of discussion. But we have embedded the whole motive of operandi of becoming acquisitive into our daily activity. So, we’ve build up team resources and competence within Sun and the overall activity, I have to say I’m pretty pleased where we are at this point.
Unidentified Analyst: Got it, and then final question, the $1.2 million of restructuring expense in Q4, does that flow through SG&A, I mean, is it included in the margin guidance for the year? And, assuming that does flow through SG&A, how will Q4 SG&A compare to Q3?
Tricia Fulton: The majority of it will flow through SG&A, there is a small part that will flow through cost of goods sold as well it is included in the margin guidance.
Unidentified Analyst: Got it, okay. Congratulations on a solid quarter.
Wolfgang Dangel: Thank you, Joe.
Operator: Thank you. Our next question is from Joe Mondello of Sidoti & Company. Please go ahead.
Joe Mondello: Hi good morning, everyone.
Wolfgang Dangel: Fine, Joe.
Joe Mondello: So, in the press you cited that going forward that growth maybe decelerating, I just wanted to understand that, is that just a comps just get a little tougher and so because of that the growth will decelerate or are you seeing any pockets anywhere that sort of indicate to you that things may be slowing compared to this pretty good 2017 we’ve seen?
Wolfgang Dangel: I think it’s too slow Joe, so on one hand obviously I want to be careful of creating not the impression that we can continue with some of the staggering growth numbers we’ve seen in certain pockets; we just talked about Asia Pacific a minute ago. Secondly, we are not, I mean, the tailwind of the economy is still expected to be strong turning into 2018. As I pointed out on numerous occasion, our challenge is always to have clear visibility, so we have good visibility for about a quarter, so we are mid of November now, so let’s say we can probably pretty valuate what is going to happen in Q1, but it’s difficult to give a precise for cash therefore Q2, Q3, Q4 next year. Overall, I think the economy is doing fine, we are not seeing any specific pockets that would concern us. First and foremost, I have to say I’m less concerned about the economy, I’m actually very excited about our strategic initiatives holdings out the way they are and taking the grip on certain situations here and we are definitely seeing progress in so many areas that I think the combination of both the macro-economic environment, plus the rollout of the strategic initiative meeting feel comfortable as FY 2018 is concerned.
Joe Mondello: Okay, great. And, then regarding Enovation accretion, I know you gave some information regarding that, but how accretive was Enovation including the non cash amortization?
Tricia Fulton: It was accretive about $0.11.
Joe Mondello: Okay, and then looking at the fourth quarter with such a follow ups and revenue at the electronic segment, is there any – I imagined gross margins will follow up pretty significantly as well or how do you manage that or how does the business sort of look seasonally on a sort of more of a bottom line margin perspective?
Tricia Fulton: The margins overall don’t change a lot, we will see a little bit of decrease in the gross margins in the fourth quarter and operating margins obviously in the electronic segment on the lower sales, but there will be some variable expenses that also go down with sales that will help those margins not drop probably as much as what we would understand incremental revenues drop.
Joe Mondello: Okay. And, just looking at the hydraulics segment, in past sort of strong recovery is like we are seeing here in 2017 compared to 2016, in past recoveries in the third quarter has may be not been a seasonally weak on a profitability standpoint. And, I thought maybe that was going to take place again here just given the strength that we are seeing given the 25% revenue growth. I was just wondering if there is anything that you saw that was a little surprising that maybe profitability wasn’t as strong as given the strength in revenue or was that sort of in line with what you’re looking at?
Tricia Fulton: Yes, we talked about it a little bit in the prepared remarks, but we did see some inefficiencies in the electronic segment even with the incremental increased in the sales that were related to the curve-out, as well as the few SEA things like audit seasons and stock. But certainly we believe that those inefficiencies going forward can’t be overcome and were related to the curve-out specifically, but we did recognize after it was down just a bit.
Wolfgang Dangel: And, maybe Joe if I may add, the only impact on the hydraulic side that you’re referring to is probably attribute to the hurricane as I mentioned earlier on, I mean, at the end of the day, we lost about five manufacturing days which is a full week, that’s the only negative impact.
Joe Mondello: Yes, it’s a good point. Is there any way for you to quantify of what you lost regarding that?
Wolfgang Dangel: No, we didn’t make an estimate, I mean, it’s probably tailwind in the fourth quarter coming in, because I think there is reconstruction and we see in those hurricane affected an increase in demand for our product. But I can’t quantify exactly what that would be for the five days. The five days is an estimate as you can imagine you’re ramping down preparing for the hurricane, you’re weathering the storm and then you’re ramping up again, so it’s an estimate when I said probably last five days of manufacturing as a whole, but we didn’t quantify it.
Joe Mondello: Okay. And, then last question for me, just regarding the balance sheet and cash flow, do you anticipate being more aggressive starting in 2018 in terms of debt pay-down? How you’re looking at?
Tricia Fulton: We plan to pay-down the debt as quickly as we can with available cash. We have some pretty significant cash outlay related to capital expenditures this year that probably kept us from doing more there, but certainly as we normalized on the capital expenditure side, I think there will be available cash pay-down more quickly.
Joe Mondello: Okay. And, regarding CapEx, it’s obviously going to be implemented in 2017, but looking at 2018, does that - do you have any idea of what that looks like in 2018?
Tricia Fulton: We estimate going forward as part of vision 2025 that our CapEx will be 4% to 5% of sales.
Joe Mondello: Okay, okay. Thanks a lot. I appreciate it.
Operator: Thank you. [Operator Instructions] And, the next question is from John Breth of Kansas City Capital. Please go ahead.
John Breth: Good morning Wolfgang and Tricia.
Wolfgang Dangel: Good morning, John.
Tricia Fulton: Good morning, John.
John Breth: During the quarter you announced the launch of a couple of new product line within electro-hydraulic segment. Wolfgang, what is that due to your - how does that improve your position, where did you stay in that segment from in the marketplace and how much will that improve your competitive position in the marketplace and how significant can these products be?
Wolfgang Dangel: Excellent question John, I mean, it’s a substantial expansion of our existing product offering in terms of aligning here with the electrification trends that we have seen in the industry, so we have seen a strong shift from hydro-mechanical valves to electro hydraulic valves, and this expansion here is significant for us, because it will give us the access to additional customers and it will help us to go through a higher content per machine with existing customers. So, it is significant moving forward. As I said, I mean, I would probably just like as the significant product launch over the past decade here in the company.
John Breth: Wolfgang, is there any way you can quantify for us the opportunity that you’re looking at with the introduction of these products?
Wolfgang Dangel: Look at the hydraulic - electro-hydraulics offering in the marketplace, so we can probably say that about the third of the market is to be allocated to that specific bucket. Our position in the past has been reasonably weak in that area, so we always talk about the $ 2 billion market in total places, the third of that is in the electro-hydraulics, so let’s say it has $600 million, $700 million. I think we will probably target at the end of the day maybe a double digit market share in the range of 10% to 15% in that area. So, if we do math there, I mean, that could be down the road significant incremental revenue for the company.
John Breth: Thank you very much.
Operator: Thank you. [Operator Instructions] There is another question from the line of Joe Mondello of Sidoti & Company. Please go ahead.
Joe Mondello: Hey guys, I just have one follow up question, just regarding the profitability in margins that you saw in Enovation, they looked like they were pretty strong what I would consider prior we thought maybe the third quarter was a little bit seasonally weak quarter, obviously revenue was really good in the quarter. So, just wondering if you could help us understand just the normalized seasonality and maybe not as strong of a growth year like we are seeing here?
Tricia Fulton: If you look back historically in the previous two quarters at the margins on the electronic side, the growth margins in particular were a little bit weak in the third quarter, but again that goes back to the reasons that we talked about previously. But the second quarter margins were higher on that incremental sale. From seasonality perspective, the third quarter tends to be a little bit stronger for them just given that there is a model year rollout mid-year. So, I think that’s a little bit of what we are seeing here and if we go back to the pro forma of 2016 numbers, we saw the same thing last year. But again the Q4 then is seasonally weaker due to the shutdowns, which again affects margin.
Joe Mondello: And, that’s on revenue perspective you’re referring to or..?
Tricia Fulton: Yes.
Joe Mondello: What about the margin generally unseasonal…?
Tricia Fulton: Those margins should grow from the revenue. There is no seasonality change in the margins per say, it’s all driven by the - what the revenues are doing unless there is something extraordinary that’s happening or something different is happening like we saw this quarter with the inefficiencies.
Joe Mondello: Right, okay, okay; thank you.
Operator: Thank you. There are no further questions in the queue at this time. I would like to turn the conference back over to management for closing remarks.
Wolfgang Dangel: Thank you. Thanks again for your participation. And, thank you to all of the hardworking Sun employees who are driving these results. We look forward to meeting some of you at the Baird Conference this week and then updating all of you obviously on our full-year results in February. Thank you very much and have a great day. Bye-bye.
Operator: Thank you. Ladies and gentlemen, this concludes today’s teleconference. You may disconnect your lines at this time. And, thank you for your participation.